Operator: Good morning and welcome to the Cedar Shopping Centers fourth quarter 2007 conference call. (Operator Instructions) It is now my pleasure to turn the floor over to Brad Cohen, Investor Relations, please go ahead sir.
Brad Cohen: Thank you very much operator, good morning everyone. At this time management would like me to inform you that certain statements made during this call which are not historical facts may be deemed forward looking statements within the meaning of sections 27a of the Securities Act of 1933 and section 21e of the Securities Exchange Act of 1934 as amended by the Private Securities Litigation Reform Act of 1995. Although the company beliefs and expectations reflected in any forward looking statements are based upon reasonable assumptions, they are subject to various risks and uncertainties. The company can provide no assurance that expectations will be achieved and actual results may vary. Many of the factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday’s press release and from time to time in the company’s filings with the SEC. The company undertakes no obligation to advise or update any forward-looking statements reflected in or circumstances after the date of the company’s release. Now it is my pleasure to turn the call over to Mr. Leo Ullman, Chairman, CEO and President, Leo.
Leo Ullman: As always, we are very proud of our company, our management team, our board of directors, our portfolio of stabilized properties as well as our development and redevelopment pipeline. We announced last night our financial results for the quarter and the year ended December 31, 2007. Our results were consistent with expectations and reflect the strong portfolio of cash flow producing properties we have acquired, developed and redeveloped. Larry Kreider will take you through some of the details of our results and talk about our financial guidance for 2008. I would like first to focus on the essential underpinning of our company and its operations that is our extremely low risk and risk adverse approach for our portfolio and to our operations. Let me start with our stabilized portfolio. Of our 119 properties, 63 are anchored by supermarkets each one of the strongest operators to its respective area. The percentage of supermarkets in our entire portfolio is indeed higher than that of any other publicly traded REIT. In addition, we have 27 properties anchored by drug stores. Thus, on an overall basis more than 75% of our properties are anchored by super markets and drug stores. Further, the average remaining lease term of our super market leases is more than 12 years. The average remaining term of our drug stores is more than ten years. We estimate average sales of our super markets to be more than $500 per square foot. Super markets and drug stores have historically proven to perform well in both good economic cycles as well as in turbulent times. Our stabilized properties are more than 96% leased. We have less than 4% exposure in our entire portfolio in fashion retailers and less than 2% to furniture and home furnishings retailers. Thus, we have minimal exposure to retail concepts which are most vulnerable in these turbulent times. Also because of the nature of our business, we have very few luxury retailers or full service department stores or indeed other big box tenants who have reportedly pulled back during recent times. Turning now to our construction and development pipeline, I would again like to stress our low risk approach. Unlike traditional developers, we typically do not acquire land with the idea of spending several years to obtain requisite entitlements. Rather, we typically try to take down land only when we have an anchored tenant in our pocket generally by way of a signed lease with a superior super market operator. Thus we attempt to limit our exposure to the very last part of the entitlement process and our leasing exposure to the smaller tendencies. We have continued to project our development pipeline projects to yield in unlevered going in return of 8.5 to 11%. We have been able to do this because of our very strong position in each of our respective markets. Again focused on the low risk approach, we wish to emphasis to our portfolio is primarily what we would call bread and butter properties in stable communities. People have characterized us as boring. We are proud of that moniker. Many of our properties are indeed in modest growth but extremely sound areas with stable traffic and housing patterns. Of course, we have some super properties in higher growth areas. We have very few if indeed any properties that we would characterize as at risk. We concentrate in the Northeast quadroon of the U.S. where the barriers to entry are often daunting with a strong anti development and anti big box bias in many of our markets. Our approach to building this portfolio is to utilize our real estate experience and to maintain a safe specific discipline. We believe that our markets, which could to be sure feature less affluence than certain other markets and generally offer greater stability than many markets, associated with higher growth characteristics. As we move into 2008, we continue our commitment to development as a critical component of our business plan. We have announced a development pipeline approaching $400 million. This is expected to provide significant value in the coming years for this Company. We continue to have the balance sheet that provides good financial flexibility and capacity for us to execute our growth plans. Nearly 80% of our total debt is fixed rate debt with the weighted average remaining period to maturity of 6.4 years and the weighted average interest rate of approximately 5.7%. We have only $58 million of debt maturing this year. We have already refinanced a couple of loans this year and we’ve been able to do so at rates of less than 6% for periods extending from five to ten years. We previously issued a press release on the refinancing of the Golden Triangle Shopping Center, an excellent redevelopment success story, which is one of the loans that came due this year. During the fourth quarter, we also completed the joint venture with the Homburg Group which permitted us to effective sell 80% of certain stabilized modest growth assets and attractive CAP rate and on extremely favorable terms and to redeploy the proceeds of that transaction into higher yielding assets including our development and redevelopment pipeline. We are also proceeding on the potential placement of 32 properties including all 27 of our Ohio properties into a joint venture. Our remaining availability under our secured collateralized credit facility is in the order of $110 million without accessing the accordion feature where with a few unencumbered properties in our portfolio we would be able to access at this time perhaps an additional $40 to $50 million. We just now entered into a commitment for an additional $150 million secured revolving credit facility solely for our development and redevelopment construction projects. We will thus be able effectively to finance the preponderance of our development and redevelopment pipeline from that facility rather than having to seek separate construction financing for each respective project and without unduly burdening our existing credit facility. In conclusion, we are well positioned to increase income and cash flow in this Company in the coming years. We have a proven management team that is able to continue to execute our overall business plan with a strong conservative focus while adding meaningfully to shareholder value. I would like at this point to turn the microphone over to Larry who will walk you through some of our financial metrix. Thereafter, we would, of course, welcome your questions and comments.
Larry Kreider: Thank you Leo, for full details of our financial results for the quarter ended December 31, 2007, I refer you to our press release issued last night as well as our supplemental financial information published on our website and also available at www.fcc.gov. Our results in the fourth quarter showed a steady progress we are making pursuant to our business plan. The reported FFO of $0.34 per diluted share for the fourth quarter 2007 as compared to $0.31 per diluted share for the third quarter. The fourth quarter results reflect the late third quarter and fourth quarter acquisitions of 11 properties or $0.01 per share. Income from a $1.1 million lease termination or $0.02 per share, seasonally higher percentage rent or $0.01 per share, higher levels of operating expenses from the normalization of bad debt expense and from higher snow removal costs and real estate taxes are $0.01 per share, the benefit of lower average interest rates on the Company’s variable rate debt or $0.01 per share and the net current charges from the contribution of nine properties to the joint venture with Homburg Invest are $0.01 per share. Portfolio occupancy was consistent at 96% of our stabilized portfolio and 92 to 93% for our total portfolio at December 31 and September 30, 2007 respectively. Our leasing margins on renewals continue to show improvement. In the fourth quarter, we renewed 32 leases or 106,000 square feet with an average increase in base rent of approximately 8.9%. Based on the high occupancy levels of our properties, we had relatively minor amounts of other leasing activity. In the fourth quarter of 2007, we entered into seven new leases or 20,000 square feet at an average base rent of $12.49 and in separate properties, we had 14 terminated leases or 81,000 square feet at an average base rent of $9.95 per square foot. We held 92 properties during both the fourth quarters of 2007 and 2006, excluding the one property in Michigan held for sale. Same property net operating income increased by 4% to $26.3 million in the fourth quarter of 2007 as compared to $25.3 million in the comparable period in the prior year. The increase reflects the previously mentioned lease termination income partially offset by slightly higher real estate taxes and other property related taxes. We continue to position ourselves well in the current economic environment to provide for the flexibility and the Liquidity we need to execute our business plan. At December 31, we had approximately $109 million of borrowing capacity available under our secured revolving credit facility plus $20 million in cash. We have recently obtain a $150 million commitment in principle for an additional line of credit to fund our development activities. Our tenets continue to perform well and in the fourth quarter we recorded low levels of bad debt expense and relatively high levels of percentage rent and expense recovery. With respect to financial metrix, our EBITDA to fixed charge coverage ratio for the quarter ended December 31, 2007 was approximately 2.2 to 1.0 as compared to 2.2 to 1.0 for the quarter ended September 30, 2007. Our net cash flow provided by operating activities for the full year 2007 increased by 28% to $51.5 million as compared to $40.3 million for the full year 2006. As of December 31, 2007, our PRO RATA share of debt was $746 million, which amounted to 57% of our total market capitalization of $1.3 billion over six percentage points of which is attributable to decline in our stock price from the third quarter. On a PRO FORMA basis, the PRO FORMA share of debt to total market capitalization would have been 51% at December 31, 2007, assuming the market price of our stock at September 30, 2007. Floating rate debt amounted to approximately 15% of total market capitalization. As previously announced, for the full year 2008, the Company expects to report FFO of $1.22 to $1.26 per share/OP Unit. Company’s guidance excludes any impact on net income or FFO from new or future development, redevelopment activities from any new acquisitions or from dispositions of joint venture arrangements of existing properties. The guidance anticipates throughout 2008 continuing stability in our tenant base, same store revenue growth of 1.4%. No significant change in the number of common stock outstanding, an average 30 day live or rate of 5.4% and a net charge to FFO of $0.05 per share from the Homburg Invest and joint venture. Now I would like to turn the call back over to Leo for Q&A and closing remarks.
Larry Kreider:  Thank you Larry. Operator if you are there we would like to proceed to questions and answers.
Operator: Thank you Mr. Ullman. The question and answer session will be conducted electronically. (Operator Instructions) Our first question comes from Paul Adornato with BMO Capital Markets.
Paul Adornato - BMO Capital Markets: Hi, good morning.
 Larry Kreider: Good morning Paul.
Paul Adornato - BMO Capital Markets: I am going to go back to one of my usual questions and that is regarding stock buy back. I suspect that you think that your stock is under valued and this quarter we have a few outsiders who also indicated that they think the stock is undervalued. I was wondering of the board has reconsidered stock buy back as a way for shareholders to benefit from the stock price?
Larry Kreider: Paul, the board has indeed considered that from among many other things the board has considered. In general, it’s been the board’s position that this is not the best use of our available liquidity and our assets we believe our equity is best used for the development of focus in our future. We believe stocks rise and fall as they have for our shares and we wouldn’t look that smart if the stock went down so I think in general it has been an opportunity that the board has decided not to pursue.
Paul Adornato - BMO Capital Markets: Okay and switching to the agreement with Inland Group, I was wondering if you could just give us a little bit of the background behind the scenes negotiations that happened there?
Larry Kreider: I don’t know that there is much to explain other than what in fact has been published. We were approached at some point when Inland filed it’s 13D indicating they had acquired I believe 9.8% at that time, requesting that we consider permitting them to increase their share holdings to a larger percentage and requesting that limitation that’s in our articles and bylaws. Shortly after that within a matter of a couple of days, the 13D filing was followed by a letter, in fact, from Inland requesting that we indeed permit them to increase their shareholdings to 14%. Based on meetings with our board and counsel, we presented a proposal to Inland that would permit them to increase their holdings to 14% but restricting their ability to enter into any hostile activities and indeed Inland has always said that they had no intention to do a hostile transaction. We felt that was appropriate to try to paper that and at the same time we felt it appropriate and consistent with that approach to insulate their shares from voting rights. Indeed, we were able to reach agreement with Inland that they would enter into a stand still that they would not do anything hostile either directly or indirectly and that they would give to individual in our management group the proxy to vote their shares so long as they were at the 14% level. If they reduce their share holdings back down to less than 9.8% or to 9.8% or less, the agreement was effectively no longer valid.
Paul Adornato - BMO Capital Markets: Okay thanks, have you had contact with any other outside groups that you can talk about?
Larry Kreider: I think it is fair to say that there have been approaches but nothing that we can report at this point.
Paul Adornato - BMO Capital Markets: Okay thanks and switching to guidance, there’s no change in the guidance but were there any changed to underlying assumptions behind that guidance range?
Larry Kreider: Larry, no we didn’t change any assumptions in our guidance.
Paul Adornato - BMO Capital Markets: I assume from wording of the press release that the guidance does not contemplate the joint venture of the Ohio properties, if that were to happen could there be a little bit of dilution?
Larry Kreider: It does not contemplate that joint venture.
Operator: Your next question come from Nathan Isbee with Stifel Nicolaus & Co
Nathan Isbee – Stifel Nicolaus & Co: Hi, good morning, just following up on the guidance question, it states in the release that LIBOR assumption was above 5%. With LIBOR currently in the low threes, I am just curious why you did not feel it was warranted perhaps it’s bump up guidance here at all and what you might be compensating for on the down side.
Larry Kreider: Well it is false, Nathan. It is a variable rate as you know, rates can come down fiercely fast they can go up fiercely fast at this point. We did not change our guidance possibly later in the year, we might. We will do that at a discreet point in time.
Nathan Isbee – Stifel Nicolaus & Co: Okay because I am thinking even on the first quarter, we are two thirds of the way there. I would think you would get a bump from that on the first quarter alone.
Larry Kreider: I think if you do the math, you’d figure there could be a nine to ten cent bump in our FFO if rates stayed where they were.
Nathan Isbee – Stifel Nicolaus & Co: Right, okay. Leo, can you give just some specific updates on preleasing anchor commitments and potential start dates on the large developments you have planned?
Leo Ullman: I can give you some general overviews. We have announced, I believe, 18 properties in total and ten of those have preleasing levels of 55 to 90% in terms of hard leases. Five others have softer leases in terms of letters of intent at levels of 50 to 100%. The only three that would not fall within that category of 50% or better are three small ones including the one property in Michigan and two small properties in Pennsylvania, one of which we may indeed sell at some point.
Nathan Isbee – Stifel Nicolaus & Co: Okay and when do you figure you’re going to start on any of the larger projects in ’08?
Leo Ullman: We are indeed starting and have started on projects in ’08. We have always contemplated that’s the substantial bulk of deliveries would be ’09.
Nathan Isbee – Stifel Nicolaus & Co: I was wondering if there was any additional ones beyond the ones that have started already.
Leo Ullman: I think not other than as reported.
Nathan Isbee – Stifel Nicolaus & Co: Okay thanks and can you talk a little about the terminated space and any potential replacement tenants?
Leo Ullman: There is one. Do you mean where we received the $1.1 million termination payment?
Nathan Isbee – Stifel Nicolaus & Co: Correct.
Leo Ullman: That’s in a property in Western Pennsylvania where we negotiated a termination payment for a grocer and we expect to replace that with another grocer in a somewhat larger store with better rent terms.
Nathan Isbee – Stifel Nicolaus & Co: Okay and how long are you expecting that to be down?
Leo Ullman: Six months.
Nathan Isbee – Stifel Nicolaus & Co: Okay, thank you.
Operator: Our next question comes from Philip Martin with Cantor Fitzgerald.
Philip Martin – Cantor Fitzgerald: Good morning gentlemen, most of the development questions were just answered but could you…when you look at your development pipeline, is timing for the most part still on track, et cetera. Have you seen an retailers take a step back here given what is going on in terms of potential economic weakness, credit cycles, et cetera. Is everything still pretty much on track?
Leo Ullman: I tried to focus on that a little bit in the opening remarks because the nature of our developments are generally so much tied to super markets with whom we have leases and because those properties, the typical ones, the supermarkets are roughly two thirds of the total center. We haven’t really experienced that in any significant respect. We do have a couple of joint ventures; the Upland property that we’ve announced is a joint venture development property where there are basically big box tenants. We have not had any meaningful slippage there. For our property in Blue Mountain Commons where we are in fact moving dirt and so forth, again our leasing has been very attractive. I think our kinds of properties aren’t really experiencing much to the types of pull-backs that you might expect in the other areas. Again, these are relatively small projects with the exception of Upland and Blue Mountain Commons and again mostly driven by supermarkets.
Philip Martin – Cantor Fitzgerald: Having hear that, is it fair to say that the volume of potential opportunities that are not yet in your development pipeline is still as robust as a year or two ago or are you seeing a slow down in potential opportunities?
Leo Ullman: We are seeing a slow down in certain aspects of opportunity. The grocers are generally doing well. Certainly the ones that we have in our portfolio and several of the leading grocers are pushing us for more sites and more opportunities. The hold back has been a little bit on the land holdings side in terms of sellers not knowing how to price their properties but we have been looking for a couple of grocers for multiple sites and the diffifculty has been making a deal with the land owner. Correspondingly, as you’ll see with the Upland project and also one that we’re doing in Strasburg, we are linking up with local developers here and there who may be constrained in these current credit markets where we can come in with dollars and come in late in the entitlement and leasing process and come in on a very attractive basis. The opportunities are indeed still out there. We have to just harness those opportunities and match them with our available funds and where we think we will be with available funds and credit in a couple of years.
Philip Martin – Cantor Fitzgerald: How much would you expect your development pipeline to grow incrementally in 2008? What are the incremental opportunities that could be added here in 2008 to this pipeline?
Leo Ullman: We are not at this point looking at too much; we are looking for an opportunity here or there in Virginia and working on that. We are looking for multiple sites in Delaware. Now we are talking 2009, 2010, we expect to have a rolling pipeline which would be roughly consistent with where our pipeline is now and we would expect to be delivering from that pipeline hopefully in the $100 million range annually going forward.
Philip Martin – Cantor Fitzgerald: Obviously, you are going to have a big development cycly here for the next 12 months where things start to roll out and continuing on about 100 million of new development added will complete it and added to it to stabilize our portfolio annually. That’s kind of the vision, the road map that we should think about?
Leo Ullman: Yes.
Philip Martin – Cantor Fitzgerald: Okay. I appreciate it.
Leo Ullman: Thanks Phil.
Operator: Our next question comes from Ambika Goel with Citi.
Ambika Goel – Michael Bilerman - Citigroup: Hi, this is Ambeeka with Michael Bilerman. I’d appreciate more details on the GV of the Ohio properties.
Leo Ullman: I guess I can Ambeeka, we’ve completed the letter of intent stage; we are negotiating the actual contract as we speak. It would be with the Homburg Group that it’s successfully completed and it would involve interest in the respective properties ranging from 49% on roughly half of them to 80% on the balance depending in whether there’s financing in place which will permit transfers without undue penaltites. The net amount that we would expect Cedar to receive would be in the order of $50 million and that would probably take place in the third quarter.
Ambika Goel – Michael Bilerman - Citigroup: And the $50 million that assumes what CAP rate?
Leo Ullman: Approximately a 7.9 CAP rate and that 7.9 is unlevered NOY cash NOY no GAP adjustment and with normal leasing assumptions and normal management assumptions, et cetera.
Ambika Goel – Michael Bilerman - Citigroup: Okay great and then on the construction facility that’s being set up right now, the 150 million facility, what’s the spread on that?
Leo Ullman: The spread which we actually set when the syndication group is finanlized is between 200 and 225.
Ambika Goel – Michael Bilerman - Citigroup: Okay, thank you. Oh actually, I just remembered a question that I had. Can you go through the preleasing levels? I know that you briefly talked about the ranges, the 55 to 90 or 50 to 100. Could you go through for each year of development deliveries how the average preleasing levels for each year?
Leo Ullman: We haven’t broken it down in that manner, Ambeeka, we just know that for ten of these properties we have over 55% signed leases. A property like Blue Mountain Commons for example, we have 80% preleased or more than 80% preleased. We haven’t broken it down per year.
Ambika Goel – Michael Bilerman - Citigroup: Okay great, thank you.
Operator: Our next question comes from Charles Place with Ferris, Baker Watts.
Charles Place – Ferris, Baker Watts: Good morning, a follow up question on the Ohio JV, do you anticipate that and maybe this has already been answered, do you anticipate that will be diluted in any way?
Leo Ullman: Yes, we think in the normal course of events it would be diluted. Of course, we would try very carefully to time it so that the proceeds would immediately be reinvested in higher yielding properties or developments.
Charles Place – Ferris, Baker Watts: Okay and on your construction or on your development delivery timeframe, I am looking through the supplemental but I don’t if you disclose or provide target delivery dates. In a dollar fashion can you kind of roughly indicate when you expect your deliveries. I know you said the bulk will be in the first half of ’09. Is that 150 million, 200 million, is there anything going to be in ’08?
Leo Ullman: I’d like to stick with what we published, Charlie. I think it is just too dangerous to predict the month in which these things are going to be delivered or even the quarter. We feel good about what we accomplished for ’09.
Charles Place – Ferris, Baker Watts: Okay.
Leo Ullman: I think it is fair to say about a quarter of our deliveries would be ’08.
Charles Place – Ferris, Baker Watts: Of the 300 or 400, which would be the number?
Leo Ullman: 350
Charles Place – Ferris, Baker Watts: 350. Then would the other three quarters then be in ’09?
Leo Ullman: Yes.
Charles Place – Ferris, Baker Watts: Okay, great. That’s it for me, thanks.
Leo Ullman: Thank you.
Operator: Mr. Ullman, there appears there are no further questions in the queue. I’d like to turn the call back over to you for any closing or additional remarks.
Leo Ullman: Thank you very much operator. We are somewhat stunned to have ended the Q&A so quickly. First of all, I want to thank everyone who is on the call very much for joining us this morning. The overall summary and conclusion, which we wish to leave with you, is that our strong management team continues to execute the company’s business plan and is able to deal very effectively with the challenges of the current credit and retail markets. We believe our portfolio is perhaps better suited than most any other for the credit constraints and the consumer uncertainties which are present at this time which may indeed continue and perhaps even deepen for some time. We’ve been careful to husband our resources and to insure the availability of funds to complete our announced plans. Our development activities continue to evidence great care and as little risk as possible. Our stable properties continue to be strongly focused on necessity shopping with more than 50% of our tenants in fact representing groceries and consumer staples and little exposure to the greater risk retail tendencies. We believe strongly in the initiatives that we have taken to deal with these exigencies and we correspondingly believe in the ultimate judgment of the securities markets in the long run as to the validity of our plans and our efforts. Thank you very much.
Operator: Ladies and gentlemen that does conclude today’s conference.